Operator: Ladies and gentlemen, thank you for holding, and welcome to the Wesfarmers 2015 Half-Year Results Briefing. [Operator Instructions] This call is also being webcast live on the Wesfarmers website and could be accessed from the homepage of Wesfarmers.com.au. I would now like to hand the call over to the Managing Director of Wesfarmers Limited, Mr. Richard Goyder.
Richard Goyder: Well, thank you and welcome to the Wesfarmers 2015 half-year results briefing. As usual, I'll commence by covering the Group's performance highlights, then I'll be followed by the Group divisional managing directors who will each provide a performance summary and outlook for their respective divisions, and then Terry Bowen will provide commentary on the performance of other businesses, balance sheet, cash flows, and I'll conclude with a brief outlook for the Group, and then there'll be plenty of opportunities for questions at the end of the formal briefing. So I'm moving through to Slide 4 on the financial highlights. Today we reported a net profit after tax from continuing operations of $1.376 billion for the half-year ended 31 December 2014. And that's an increase of 8.3% on the prior corresponding period. The earnings per share from continuing operations rose 9.6%, and return on equity on a rolling 12 basis from continuing operations and excluding non-trading items increased 77 basis points to 9.7%. Reported NPAT, which includes the results from discontinued operations in the prior corresponding period decreased 3.7% while return on equity on an actual basis increased 100 basis points to 10.4%. In the prior period, discontinued operations included the trading contribution of the insurance division prior to its sale and also the profit on the sale of the Group's 40% interest in Air Liquide WA or ALWA as it would be called later on the presentation. In summary, to record a solid increase in underlying profit in the first half was a pleasing result. Despite variability in the domestic economy and volatility in global markets, the Group's increase in underlying earnings again demonstrates the benefits of our conglomerate structure. Continued strong performances in the Group's retail portfolio supported good growth in retail earnings. The trading momentum of our retail businesses improved through the half, culminating in a strong performance in the important Christmas period. This has continued through January and into February. Lower earnings were recorded from the Group's industrial businesses where lower commodity prices resulted in challenging trading conditions. Free cash flows for the Group were $1.269 billion in the half, $253 million above the prior period, with higher operating cash flows more than offsetting higher net capital expenditure. The Board today declared an interim dividend of $0.89 per share fully franked, an increase of $0.04 per share or 4.7%, which reflects the underlying earnings growth and the continued strong cash generation of our businesses. And during the half, the capital management distribution of $1 per share was completed in December following the successful sale of the Group's insurance division, returning over $1.1 billion to shareholders. Now turning to Slide 5. As I mentioned earlier, the strong performances of our retail businesses underpin the increase in underlying earnings achieved by the Group with our retail portfolio delivering earnings growth for the half of $152 million or 8.6%. We continue to seek lower costs and invest in profitable capacity expansions and remain positive regarding the long-term outlook for our industrial businesses. Over the long term, these businesses have generated sound returns on capital throughout their sector cycles well above the Group's cost of capital. And strong market positions and low cost structures also provide leverage to any market recovery. On Slide 6, on return on capital, in terms of return on capital, we maintain a very strong focus on return on capital throughout the Group. Pleasingly, return on capital of the retail portfolio further improved, recording 133-basis-point improvement during the 12 months to 31 December 2014 to above 13%. The return on capital on a rolling 12 basis of our industrial portfolio fell to a little over 10%. In terms of highlights, following effective property development and property recycling and strong earnings growth, Bunnings recorded a very strong leap [ph] in return on capital, which John will talk to you later in his address. And we also got good improvements out of Coles, Kmart and Officeworks. On Slide 7 and 8, you'll find divisional performance summaries, which I won't cover as the divisional managing directors will cover those off in detail. But at a Group level, we're pleased with the overall financial results and safety performance for the half. Good cash generation. The maintenance of a strong balance sheet reflects the Group's continued focus in those areas, which Terry will talk to you later. With that, I'll now hand over to John Durkan who will talk through the Coles performance for the half.
John Durkan: Thank you, Richard. I will begin with the Coles financial highlights on Slide 10. During the half, total revenue increased by 2.8% to more than $19 billion, which is $537 million more than the prior year. Comparable food and liquor sales grew by 4.2% against the solid increase of 3.6% in the previous year. Coles continue to invest further in lower prices, resulting in food and liquor deflation in the half of 0.9%. This is in line with our strategy of greater investment in [inaudible] prices. For the same period, ABS recorded food inflation of plus 2.7%. Coles' earnings was 2-1/2 times the rate of revenue growth, with EBIT reaching $895 million. All food key performance metrics improved. Our sales density volume, basket size and transactions were all higher. As a result, food and liquor EBIT grew 8.7% to $821 million. The results include the payments to the ACCC and associated legal expenses. It also included a one-off increase in other income following the change in ownership of Coles' [inaudible] partner and lower electricity costs in the half. During the half, our convenience business Coles Express experienced a 6% decline in revenue to $3.9 billion. This was due to lower volumes following our undertaking to the ACCC which restricted fuel docket discounts to $0.04 per liter from January 1, 2014. As we've always said, fuel dockets were only one of many forms of value investment for Coles. In supermarkets, we've reinvested this into other forms of value for customers such as Everyday Low Prices, Fresh Produce Super Specials, and stronger promotions. I'll now turn to Slide 11. Today we are seeing customers becoming more value-conscious than ever. At the same time, the competitive landscape is intensifying as discounters rapidly grow their network and expand beyond the eastern seaboard. As a result, Coles has been investing more in value during the half and will continue to do so for the foreseeable future. Our aim is to lower the cost of weekly shopping basket for Australian households, with a focus on consistent low prices which customers can trust. During the half we launched everyday pricing to reset the way we talk about value to our customers. And in addition to investing in Everyday Low Prices, we've continued to offer exceptional value, weekly specials and high-quality value alternatives through our Coles brand. With flybys, Coles has continued to provide its customers with more relevant and targeted offers. Improving the quality and consistency of our fresh fruit continues to be a key focus. This focus resulted in stronger sales volume and participation in fresh foods during the half. We are continuing to build deeper longer-term collaborative partnerships with Australian producers, and in December we announced a 10-year contract with Sundrop Farms to supply fresh tomatoes. This has enabled the investment in a world-class technology which not only sets up benchmark for sustainable agriculture in Australia but also creates 300 jobs in regional South Australia. Sales densities are an important metric, and we've continued to drive improvements through focusing on fresh food and rebalancing our store layouts according to customer demands. We have grown our new space at a faster rate during the half, opening 14 new supermarkets in areas of network gaps. This takes net selling area growth to 3% for 12 months to 31st December. We also continue to invest for the longer term with our renewal program to ensure a greater level of consistency throughout our network. During the half, Coles renewed a further 38 supermarkets, which means that 64% of fleets have now been renewed. And as always, we remain focused on returns and continued our property divestment program. During the half, 10 sites were sold, including three more to the ISPT joint venture. I'll now turn to Slide 12. To fund our investment in value, we will continue to drive further efficiency through the business. And during the half we completed the rollout of easy ordering for meats and bakery and assisted ordering for fresh produce. These initiatives improved productivity, availability and our quality. To make it easier for customers to shop more quickly, assisted check-outs have been deployed in 89% of stores, and customer-facing card scanners have been installed across the fleet. We've taken further steps to simplify our supply chain. For example, we have successfully migrated our fresh produce into our Eastern Creek chilled DC and migrated the Altona National Consolidation Centre within the Somerton DC. In transport, we are developing and rolling out planning and tracking systems to improve efficiency. Examples include our Otek [ph] transport planning and tracking systems that determine the most optimal load plans, factoring in store service requirements and the most efficient routes to stores. We also recognize that we need to create a leaner and more flexible store support center to help fund the investment in value within our stores. We have an ongoing focus to drive efficiencies in our approaches, including reviewing [AUDIO GAP] to grow profitably in Coles online [ph], and to do so, we need to lower our operating costs. A key initiative is expanding number of click-and-collect sites, which are more cost-efficient than home delivery. And we now have more than 100 of our -- of these sites across the country. We're also focused on improving picking productivity and [AUDIO GAP] -- I'll now turn to liquor on Slide 14. Liquor performance remained challenging during the half, and as I've spoken about previously, FY15 will be a transitional year for our liquor business. The long-term transformation will take time. In the half, we undertook significant clearance activities, and as a result, progress was made in reducing obsolete stock. We've initiated the first phase of price reductions through the Liquorland Low Prices campaign. This involved reducing the prices of around 250 products. We've also accelerated the closure of underperforming stores during the half, closing 16 stores. We opened 38 new stores in the half, including 29, which are collocated with the Coles supermarket. There is a lot more work that we need to do to improve the customer offering experience in our liquor stores. In FY 2014 we raised a $94 million provision to support liquor restructuring activities. To date, approximately a quarter of this provision has been utilized. I'll move on to our convenience business on Slide 15. Coles Express continued to feel the impact of the ACCC fuel undertaking which restricted our fuel discounts from the 1st of January 2014 to $0.04. This resulted in lower fuel volumes and a lower overall convenience EBIT. We have now finished cycling this undertaking. We've continued to focus in ensuring the right fuel offer. And during the half we trialed new fuel initiatives for customers such as capping the price of unleaded fuel in select markets over the Christmas and New Year period. In our convenience shop, we've seen strong performance as a result of the renewed focus in improving the value proposition, and customers have responded positively to the new lower prices. Together with our alliance partner, Viva Energy [ph], Coles Express accelerated the expansion of its network, opening 12 new sites and closing two sites during the half. I'll now turn the Slide 16. As you can see at the bottom of this page, our strategy remains consistent with my presentations in May last year and again during our Investor Day in November. There is no doubt that the Australian market is highly competitive and growing more so. Currently discounters are more than 360 stores and 11% of market share in the eastern states and now are expanding beyond the eastern seaboard. Consumer confidence remains subdued, and combined with lower wages growth, Australian households are growing more cautious with their spending and seeking greater value. These headwinds mean that going forward we will need to invest even more to deliver greater value for our customers. Even more so, our project unity [ph] is key in funding this investment as Coles continues to simplify operations and reduce the end-to-end cost of doing business. At the heart of our investment strategy will be a disciplined and return-focused approach to capital management. We remain a customer and sales growth driven business and believe the delivery of the strategy will enable this growth. I'm excited and look forward to the opportunities that lie ahead of Coles. I will now hand over to John Gillam.
John Gillam: Thanks, John. Good morning, good afternoon to everyone. I'll kick off with the Bunnings section, starting at Slide 19. In the first half, Bunnings had delivered good outcomes across all measures. The multiple growth drivers that are the focus of our strategic agenda are all firing in synch and pleasing progress has been made on actions that support growth and strengthen our core business. The strong financial results, revenue up by 11.8%, approaching the $5 billion market, earnings up by 10%, and ROC up by 4 percentage points. These are all outcomes of our strategic agenda, which has good momentum. Our safety performance is also trending positively. Turning to Slide 20, total store sales lifted by 11.7%. In absolute terms, revenue increased in the half by $525 million. Sales growth was generated in consumer and commercial areas and within every trading region. All of our merchandising categories performed well, as did our new stores. The 9.1% store-on-store growth number highlights three key factors: our total market capability, the underlying strength of our network, and the importance of reinvesting in existing stores. We continue to invest in the future with tremendous work being done, creating more value for customers, and developing our brand reach. These elements of our strategic agenda are investments that cost today but will deliver strongly for us over time. Having regard to our longer-term focus, the 10% uplift in earnings was a pleasing result, stemming from good trading as well as productivity gains and disciplined cost control. Within the supplementary information pack, you'll find on Page 10 a more detailed breakdown of earnings, which shows EBITDA, property and trading EBITDA information. The graphs on Slide 20 provide a 10-year view of the capability within Bunnings to profitably grow sales volumes year on year without fail. You can also see the lift in returns achieved over the past 24 months as the almost $3 billion in CapEx invested from the 2010 financial year onwards has been put to good work within our business. Moving to Slide 21, our business model provides a total market capability, and that supports our focus on multiple growth drivers. We're giving customers more value, better service, better experiences, and access to an even wider range. We're seeing good trends across our service metrics, and a five-year view of CPI versus our retail price for our [ph] deflation shows that in the 2014 calendar year we created more value for customers again. The growth in commercial activity continues to excite as we successfully expand our B2B presence in every region. And we've enhanced our ranges with good product innovation. The ongoing support of leading brands, global and local, is a great accelerant within our merchandising work. We've challenged ourselves over the past five or so years to accelerate our brand reach, expanding our physical network and creating the depth and breadth of our digital ecosystem and widening the services we offer. This work is really delivering, with strong new store openings and record levels of online participation. Our teams within store operations, commercial, merchandising, marketing, property, store development, and our support areas are doing a great job. They're making the most of good trading conditions whilst doing the hard jobs that come with the work of investing for the future. Supporting all of these, we flowed product more effectively than ever, made things better and safer for our team, unlocked new productivity gains and lifted the work we do within the communities we serve. All of this continues to build the strength and health of our business. Moving on to Slide 22. Our growth agenda creates a lot of activity. CapEx for the half of $352 million included investment across all growth drivers and investment for further productivity gains. We continue to complete a significant quantum of capital recycling initiatives. In line with my comments last year at the May Strategy Day and the August results briefing, our brand reach is accelerating, digitally and physically. The work growing and enhancing our digital ecosystem is exciting and our network is expanding. We're on track to deliver around 40 new Bunnings warehouse stores across this financial year and the next. As of this week we've opened 12 warehouse stores and one smaller format store for the year so far. We have over 70 sites in the pipeline, of which 18 are under construction. We're excited about the strength and quality of the new sites we're opening. As we look at the year ahead, we expect our strategic agenda to help deliver continued sales growth. Our brand reach work will be a driver of that growth, and we're aiming to do more for consumer and commercial customers than ever before: more value, more merchandising innovation, better service and better experiences. I'm very pleased with and greatly appreciative of the super team effort that's been delivered -- that's helped delivered these results and helped made the Bunnings business stronger for the future. Turning to the Officeworks result, and I'll move through to Slide 23. The results achieved by Officeworks in the first half are really pleasing. The business continued to successfully leverage good work from prior years by adding new elements that are winning them more customers. All key performance measures lifted. Good safety trends, 7.7% revenue growth, a terrific 19% lift in earnings, and another strong increase in ROC, with returns now exceeding 10%. Moving to Slide 24, I'll comment on the highlights. At the bottom right of this slide, you can see a chart of the earnings and returns for all of the years Officeworks has been part of Wesfarmers. Inside this time, first-half earnings have now doubled and returns have almost done likewise. Above that chart you can see the sales uplifts achieved across each of the past six quarters growth on growth. The driving force for all of this has been the increasing strength of the Officeworks offer in every channel: stores, online and direct. The business is now into its seventh year of consecutive revenue and earnings growth. Officeworks has lifted its investment in all channels with an overarching aim of making it easy for customers: easy to shop with Officeworks anywhere, anytime and anyhow, fully aligned with one brand presence, maximizing convenience, and this approach is resonating very strongly with customers. You can see on this slide insights to the performance of the online channel where annualized sales now exceed $200 million. What's most pleasing is that good growth is being achieved in all channels. The strong lift in revenue has been leveraged by creative merchandising work and productivity gains to produce the 19% lift in earnings for the half. Turning to Slide 25, the investment work in every channel is paving the way for the business to expand, by improving its offer to customers in ways that provide good return outcomes. Within existing stores, merchandising is the story, with layouts improved, ranges enhanced, and there's new and expanded ranges, new categories, more color, style, and inspiration. For SME business customers, the focus has been quite comprehensive, with investments across all touch points: stores, online and mobile, call centers and direct, and productivity gains are freeing up time for store team members to provide more service. The store network expanded with three new stores opened in the half and there's also been further investments to improve and enhance and grow all aspects of the consumer online presence. Moving to Slide 26 and the outlook. The business has started the second half well with good results achieved in the critical back-to-back -- back-to-school trading period. The outlook is for ongoing growth in a market that continues to be highly competitive, with pressures on sales and margins. The focus within Officeworks is on driving and enhancing their offer for customers in every channel, initiatives to improve merchandising and service are at the forefront. There are also good opportunities to grow within the B2B market. And within the core of the business, there's continued work to develop and engage the team, lift productivity and reduce costs. I'd like to take this opportunity to congratulate Mark Ward and the Officeworks team on a terrific first half. And I'll now hand over to Guy.
Guy Russo: And thank you, John. Good morning or good afternoon everyone. I'll now take you through the Kmart's half-year performance and provide some insight into our business highlights and areas that we'll be focusing on into the future. Moving to Slide 28. Kmart's revenue for the half was $2.4 billion, up 5.2% on last year, and comparable store sales increased by 2.4%. The second quarter saw sales grow by 7% to $1.5 billion, with comparable store sales growth of 3.4%. Sales growth was driven by new store openings, store refurbishments, and the strong performance in apparel, home and our toy categories. Earnings increased by 11.2% to $289 million. Earnings growth was driven by improved product ranges that are in-between management and general cost control across the entire business. The rolling 12 months return on capital improved on last year to 29%. The safety result was also pleasing with improving on the prior year. Moving to Slide 29. During the first half, Kmart's launched the price drop campaign that further reduced the price of everyday products. This was well-received by our customers, driving growth in transactions, units and revenue. Trade was strong over the important Christmas period, driven by seasonal outerwear in men's, children and in the Christmas related categories. Improvements in earnings and return on capital was the result of improved product ranges and increased efficiencies across the business. The effect of the declining Australian dollar was managed through range architecture and our hedging policy. We continue to invest in our store network by opening eight new Kmart stores and completed 15 store refurbishments during the half. Moving to Slide 30. Kmart's growth strategy remains unchanged as we continue to be a volume retailer, drive operational excellence, deliver adaptable stores, and foster a high-performance culture. We are committed to our relentless focus on price leadership, and we'll continue to seek opportunities to deliver irresistible values to families in Australia and New Zealand in all 200 stores. In fact, today we have dropped the prices on further 200 products. Kmart is committed to providing the best-value products at the lowest price. Nothing has changed in relation to this. We are constantly searching for ways to lower costs and invest in price, and this will remain a high priority. Investment in store network remains a key focus, with three new stores and 16 store refurbishments in the pipeline for this second half. Safety and ethical sourcing will continue to be key priorities for our business. The great results we have achieved today would have not been possible without the dedication of our team. I'd like to take this opportunity to thank everyone at Kmart for their focused efforts in delivering the best they can for our customers. Thank you for your time. And I'll now hand over to Stuart.
Stuart Machin: Thank you, Guy. Good morning everyone. I will now provide a brief overview of Target's financial results for the first half, and an update on the progress we have made on our transformation plan. Starting on Slide 32, revenue for the half was $1.9 billion, with EBIT in line with last year at $70 million. We achieved our best-ever safety result with LTIFR of 4.9. Moving to slide 33. Sales and profitability improved in the second quarter, offsetting the impact of first quarter clearance activity. Quarter two also saw our strongest growth in customer transactions in three years, as well as year-on-year sales and margin growth during the Christmas trading period. I will now talk through the highlights against each of our transformation strategies. We made good progress in improving our customer experience, including the delivery of a new store format, which is achieving sales and margin densities ahead of the fleet average. During the half we opened nine new stores, including four replacement stores, and closed eight stores. Our online business delivered profitable sales growth of 40%. Improved range of merchandise planning processes drove a reduction in both options and our mark-down spend, as well as an improvement in inventory health. Although there is still significant work to do, we have much better controls in place than in prior years. We've also introduced new product ranges that underline improvements we're making in fashion, style and quality across our range architecture. As I mentioned in August, we had a lot to do to improve our sourcing operations, and I'm pleased to say we are on track. This activity has supported our continued investment in products and everyday lower prices. And as we continue to improve our core processes, we have opened three regional replenishment centers in Victoria, New South Wales and Queensland. Our factory-to-customer supply chain program continues to gain momentum, but with much work still to do over the next two years. I will now turn to the outlook slide, Slide 34. We will continue to deliver our transformation plan in line with what I detailed in May. In the short term, we will have particular focus on continuing to improve availability, further reduce options, and carefully manage movements in the dollar. With still much work to do over the next 18 months, I'm confident we're doing the right things, by demonstrating to our customers that we offer great fashion style and quality at lower prices every day, we will continue to build customer transaction and volume growth to achieve a strong return. I would now hand over to Tom.
Tom O'Leary: Thanks, Stuart. Looking now at the Chemicals, Energy & Fertiliser performance summary on Slide 36, and starting with safety performance. Despite the slightly higher number on the slide, which is a rolling 12 figure, we saw safety performance continues to show improvement. At 31 December 2014 we achieved the lowest number of both total recordable injuries and lost-time injuries in a half-year -- excuse me -- since merging the Energy and Chemicals and Fertilisers divisions back in 2010. Turning to financial performance, divisional earnings to 31 December were $95 million. The result is down 14% on last year excluding the $95 million gain on sale of our 40% interest in Air Liquide Western Australia that was reported as a non-trading item in the prior period, but including our earnings for the period prior to divestment. Underlying performance was driven by strong results from fertilizers, relatively flat earnings in the chemicals businesses overall, and the sharp decline in Kleenheat Gas earnings. Return on capital to 31 December on a rolling 12 basis was 13.4%, a reduction on the 17.1% achieved at the same time last year, bearing in mind though that the current period's result includes the full impact of the investment in the ammonium nitrate expansion, AN3, without a corresponding full year of earnings. Turning now to highlights on the next slide. Following commissioning of AN3 at the end of the last financial year, the plant has continued to perform well during the half. As I mentioned previously, one of the benefits of the project is our ability to put a portion of the increased production into our fertilizer business, that's substituting otherwise imported urea AN or UAN. I might mention though that those tons sold into our fertilizer business are not included in the chemical sales tons number on the previous slide as they're effectively internal sales. In addition supplying increased local explosive grade demand and our own fertilizer business, as planned, product from the expanded capacity has also been placed into the export market. As you expect and as I've mentioned previously, margins in both the fertilizer and export markets are lower than for local explosive grade supply. At the full-year results back in August, I said that earnings from our chemicals businesses would be negatively affected by around $50 million through a combination of the phasing-in of new gas supply arrangements for the ammonia business, as well as by the repeal of the carbon legislation. The impact in the first half was approximately $20 million, with the impact increasing to $30 million in the second half as we feel the full effect of the new gas arrangements. Overall, our chemicals production plants all performed well during the period, which included a short planned shutdown of the ammonia plant. Australian Vinyls earnings declined during the period once again due to a low spread between global PVC and raw material prices. In Kleenheat, earnings declined significantly as the Saudi CP, which is the international benchmark pricing indicator for LPG, reduced from an average of some AUD943 per ton in the previous corresponding period to AUD777 per ton over this period. In addition, LPG content in the Dampier to Bunbury pipeline was lower. The decline in the Saudi CP price is correlated with the significant decline seen in oil prices over recent months. You can see both of these trends along with the PVC BCM spread in graphs provided in the supplementary pack. Earnings from the fertilizer business increase on the back of good rainfall across most of the grain-growing regions, which prompted increased nitrogen application, as seen from the sales volumes on the previous slide. It's worth noting though that we expect some of the high sales to have been a result of earlier purchasing decisions by farmers such that they brought forward some of those volumes that would otherwise have been sold in the second half of the year. Turning to outlook on Slide 38. Despite strong ongoing demand for ammonium nitrate and ammonia, as I've mentioned, we expect second half earnings in the chemicals businesses to be around $30 million down on last year due to increased gas costs and lots of carbon abatement income. In our sodium cyanide business, the lower gold prices led to weaker cyanide demand and pricing, and this is beginning to flow through as contracts are renewed. Similarly, we anticipate Australian Vinyls will continue to be challenged by the low spread. But offsetting that to some extent will be increased earnings from the expanded AN business. Kleenheat earnings remain dependent on LPG production economics and global pricing. At this point the outlook does not indicate a recovery of the Saudi CP from current low levels in the short term. We obtained ACCC clearance for the sale of the Kleenheat East Coast LPG business in December and we expect to complete the sale in the first quarter of this calendar year. The divestment's not expected to have a material impact on earnings performance. A good 2014 harvest in Western Australia and better than average returns in most areas mean farmers will be in good financial shape for 2015. As always, full-year earnings will remain dependent on a good seasonal break in the second half of the financial year. I'll now hand over to Stewart.
Stewart Butel: Thanks, Tom. And good morning, good afternoon everyone. I'll refer you to Slide 40. Operating revenue of $689 million was 9.8% below the corresponding period last year. Export market conditions remained challenging, with further reductions in both metallurgical and export steaming coal prices appearing. Average export prices were down 17.7% on last year. The impact of lower export prices was partially mitigated by higher coal production and sales and a comparatively weaker Australian dollar. Total royalties for the first half were down $41 million. This reduction was due to a lower Stanwell royalty of $34 million, down $28 million, due to impact of lower rolling 12-month average export prices, plus lower state government royalties of $46 million, down $13 million on last year, that reflecting lower export coal prices as well. Mining and other costs at $501 million was 1.4% below last year, despite higher sales volumes. Unit mine cash costs were lower for both mines, reflecting our continued focus on cost control and operational productivity improvements. Earnings before interest and tax of $35 million was down $24 million compared to the first half year, reflecting this anemic [ph] decline in coal prices as previously mentioned. I now refer you to Slide 41, Resources highlights. Following our ongoing focus on safety performance, both lost time injury frequency rate and total recordable injury frequency rate for the division remained low as we target zero accidents and incidents. Record production and sales was achieved at Curragh during calendar year 2014. Unit mine cash cost per ton were lower for both mines compared to last year, reflecting a strong focus on cost control. Curragh achieved a 32% reduction in unit cash cost compared to the peak recorded in the first half of 2012. This was despite less favorable geological conditions experienced during this half when compared to the second half of last year. And this was highlighted at last year's full year results presentation. Curragh's unit mine cash costs reduced by 6% when compared to the first half last year. As announced by Rio Tinto on the 28th of November 2014, Bengalla's run-of-mine reserves have significantly increased to 271 million tons, an increase of 67% on the previous reported reserves. A feasibility study to develop, MDL 162, which we acquired in January 2014 is progressing. I'll now refer you to Slide 42, the outlook for the Resources division. The outlook for the export marketplace continues to remain challenging, with coal supply in the near term expected to exceed demand. We expect continued low export prices are anticipated in the second half of financial year 2015. Curragh's metallurgical coal sales volume is forecast to be in the range of 8.0 to 9.0 million tons for FY15. Full-year sales makes its forecast to be 42% hard-coking coal, 31% semi-coking coal, and 27% PCI. As previously reported, weighted average metallurgical coal US dollar prices for the March quarter, the quarter that we currently are in, are forecast to be approximately 1% below the December 2014 quarter prices. The Stanwell royalty for FY15 is expected to be in the range of $55 million to $70 million, based on an average US dollar/Australian dollar exchange rate of USD0.81. Our focus continues to be on cost control and productivity improvement. I'll now hand over to Olivier from Industrial & Safety. Thank you. Olivier?
Olivier Chretien: Thanks, Stewart. Good afternoon. I will now cover the Industrial & Safety division. As you can see on Slide 44, the division's half-year results continued to be adversely affected by difficult market conditions. Operating revenues were up 3.9% to $835 million, largely helped by the Workwear group acquisition in December. Earnings before interest and tax fell to $50 million, and return on capital to 9.2%. And we continue to improve safety outcomes with total recordable injury frequency rate decreasing to 10.4. Looking at some of the key highlights of the half-year, on Slide 45. The division faced reduced activity across most industrial sectors, with margins under pressure from intense competition and increasing cost of imports, but also as a result of the division's investment in value to retain and grow market share. In response to the market conditions, the key priority continued to be reset our cost base. Several specialist businesses were restructured. Headcount was reduced by 11% excluding acquisitions over the past 18 months. We hold out the first wave of negotiations with key suppliers and expanded the penetration of our own brands. We restructured the supply chain to increase efficiency through better sales and operational planning and automation. We are in the process of calling out new telephony systems to improve customer service efficiency. And we are also streamlining processes for the work on our new ERP. The second priority has been to invest into improvements to our value proposition to customers. We've increased our investments in value to retain and grow market share, which has further impacted margins. We've expanded Coregas distribution channels through Blackwoods and Bunnings. The Greencap [ph] and NSC acquisitions have helped expanding of safety and [inaudible] offer to the broader market. We have further developed integrated supply solutions to reduce customers' total cost of ownership. And the Workwear Group acquisition will help us build the leading position in Workwear, not only for industrial customers but also in defense and corporate uniforms, while extending our exposure to overseas markets. Now turning to the outlook for the Industrial & Safety division on Slide 46. The weakness in market conditions is expected to continue in 2015, with market volumes, currency and continued intense competition maintaining pressure on margins. We have a focused agenda for the next period to continue lowering the cost of doing business and improving productivity through further restructuring [inaudible] simplification [ph], improved utilization of our distribution network, and leaner processes. We will reinvest efficiency gains in value for customers to retain and grow market share. The integration of Workwear Group will be a strong focus in the second half and is expected to deliver benefits over time, with an immediate priority on stabilizing the business and resolving legacy issues. And we'll be targeting new goal platforms, particularly with small business off and online, and innovative integrated solutions, including potential acquisition opportunities to improve our market share and capabilities. I should note that the division's result this year will be impacted by restructuring costs across our business portfolio and the Workwear Group integration. Thank you. I will now hand over to Terry Bowen.
Terry Bowen: Thank you, Olivier. Good afternoon everyone. I'll now provide an overview of the performance of the Group's solid businesses for the half as well as cover off on the balance sheet, cash flow performance, funding, positioning, capital management activities. So, turning to Slide 48 and the Group's other businesses. Excluding discontinued operations, our other businesses and corporate overheads reported an expense for the period of $26 million. This compares to an expense at the same time last year of $62 million. When we include the discontinued operations, which is ALWA -- the ALWA gain on sale and insurance division in the prior period, we would have recorded an income of $142 million. Earnings from the Group's share of profit from associates were $34 million this half compared to $18 million in the prior period, with the growth in earnings reflecting the Group's investment in BWP which generated earnings of $29 million, up from $16 million in the prior period, largely as a result of property revaluations. Interest revenue increased for the half to $19 million from $3 million last year. And this was due to a higher average cash balance during the period post the insurance sale. Corporate overheads increased by $7 million to $66 million. Other expenses reduced by $1 million to $13 million. Looking now, working capital, on Slide 49. At a Group level, our net working capital decreased over last year excluding the insurance division by $199 million to $1.842 billion. Despite our continued store network growth, net working capital days reduced by 13.1% or 1.9 days compared to the prior corresponding period, which we were pleased with. In terms of cash movements in working capital over the half, we saw inflow across the Group of some $330 million. The improved operating cash flow performance largely reflected increased working capital cash flows for the half, which more than offset higher income tax paid. The improvement in working capital cash flows was mainly due to higher creditors due to a growth in our retail businesses in particular, as well as a period-end timing difference compared to last half, which result -- where last half resulted in additional credit of payment run [ph] for Coles. Inventory cash outflows though were also down on the prior year. And this was due to a greater rate of seasonal inventory sales through this year compared to the previous period following a strong focus on stock management. We've included further information on working capital for you on Slide 41 in the supplementary pack as well as a broader explanation of balance sheet movement on Slide 40. Turning to the operating cash flow performance for the Group through another lens. As a result of better working capital, performance operating cash flows of $2.281 billion were $524 million or 29.8% above last year, at a cash realization rate of nearly 117%. It's worth noting that this first half is typically seasonally stronger in regards to cash generation in the second half. And this is because we set settled Christmas retail inventory creditors in January. Despite this, the current result again shows the strong cash generative nature of the Group, albeit we continue to forecast the moderation of the improvement in net working capital days going forward. Turning to capital expenditure on Slide 51. Gross capital expenditure of $1.2 billion was $47 million or 4.1% above the prior period or the corresponding prior period. Reduced investment by the Group's industrial businesses, mainly due to the completion of the expansion of the ammonium nitrate capacity and debottlenecking of sodium cyanide capacity at Kwinana, was offset by continued investment in the Group's retail portfolio to improve and optimize store networks, most notably in home improvement this period. Proceeds from the sale of property, plant and equipment during the half were $308 million. This was $295 million below the prior period. We still had a very active half, obviously down on the prior period where we had significant transactions in Bunnings. Looking towards the balance of 2015 financial year for capital expenditure, we anticipate net capital expenditure still to be between $1.5 billion and $1.9 billion, consistent with the guidance we gave in August. And as always, this will be dependent upon property activity, which can be volatile. Now turning to the Group's debt profile on Slide 52. Our profile remains in very good shape. The pie chart you can see on this slide to the right shows the Group has access to diverse set of debt sources over the years to risk-manage future financing tasks. The achievement of a good staggering of maturities, which you can see in the bar chart, also means we have a relatively low level of debt maturing or due for repayment in any one year. As far as activity goes this half, consistent with our strategy to diversify sources of debt, pre-fund upcoming maturities and maintain a presence in key debt markets, we issued a seven-year Euro bond in October 2014, which raised approximately AUD864 million. In September 2014, following the settlement of the insurance division sale, we did repay $500 million of Australian medium-term notes from our existing cash on hand, and we also have canceled $1.25 billion of Australian committed but completely undrawn syndicated bank facilities, obviously to avoid the cost of those facilities as we didn't think we'd need them. Overall, our finance costs for the half decreased by nearly 12% to $158 million. This was largely as a result of a lower net debt balance. The Group's all-in effective borrowing cost, which is every cost associated with finance, both drawn and undrawn, reduced by a further 13 basis points to 5.43% compared to the previous corresponding period. In regards to our operating lease commitments which represent about 75% of our Group's financial obligations, our strategy as we've said is to seek to ensure security of our retail portfolio in particular and risk management -- and risk-manage this lease tenure to appropriate length initial fixed lease terms and then extended optionality at our discretion. We continue to apply very strong discipline around operating leases, and this includes an assessment on either new leases or renewing leases on a return on capital of these investments on a lease-adjusted basis. Turning to credit metrics and ratings on Slide 53. Net balance sheet debt at the end of the period, which comprise interest-bearing liabilities and also cash at bank and on deposit, was $5.139 billion, 14.9% below the net debt position at the 31st of December 2013. Our gearing remained at a comfortable level, with net debt to equity of 20.8% at the end of the half. Reduced financing costs and higher earnings on a continuing basis strengthened our liquidity metrics. Our debt to EBITDA is now 1 times, cash interest cover is 18.1 times, and fixed charges cover 3.1 times on a rolling 12 basis. The Group's credit ratings remained unchanged for the half, effectively at A-minus level to S&P and A3 for Moody's. Turning to dividends and capital management on Slide 54, as well as earnings and available franking credits. The Group considers its current liquidity position rating implications [inaudible] the cycle cash flows when we determine our dividend level. In line with this approach, as Richard mentioned, the directors have declared an interim dividend of $0.89 per share fully franked. This represents a 4.7 increase on last year's interim dividend. And this is consistent with the earnings per share growth that we saw if we exclude the gain on sale of the 40% interest in ALWA last year. The record date for the final dividend is the 26th of February and the dividend will be payable in the 2nd of April. Consistent with our recent practice, the Group will continue to provide shareholders with the opportunity to participate in the dividend investment plan. No discount will apply to the allocation price, and this program will not be underwritten. The required number of shares again will be acquired on market, which will neutralize any dilutive effects of the shares issued under the plan. Just on capital management, as Richard mentioned, in December we returned $1.14 billion to shareholders via our capital management distribution of $1 per fully-paid ordinary share. The capital management was undertaken, as you will recall, post the sale of the insurance division, to ensure the Group's had a more efficient capital structure. The capital management comprise both a capital component of $0.75 per share, which returned $855 million to shareholders, as well as a fully-franked dividend which was $0.25 per share, which returned $285 million to shareholders. The capital management distribution, as you recall, was also proportionately -- was effectively [inaudible] equal and proportionate share consolidation on that portion, which converted for every one share became 0.9827 shares for shareholders. Pleasingly, since 2009, as the chart shows, the Group has -- now would undertake cumulative capital management of some $3.9 billion now, and this has included obviously the full neutralization of the Group's dividend investment plan which is operated over that period. Share purchases related to our employee share plans, as well as too in our capital management activities completed in the two most recent calendar years. And with that, I'll now hand back over to Richard.
Richard Goyder: Thanks, Terry. And just briefly on outlook before we go to questions. As the domestic economy transitions from a period of relies on high levels of resource investment, the Group is generally optimistic in its outlook. Our portfolio of retail businesses is positioned well, in an environment where, notwithstanding lower interest rates, recent declines in fuel prices, consumers continue to manage household budgets carefully. Our retail businesses will continue to improve customer offers through innovation in merchandising and better service. Focus will also remain on driving productivity gains, supply chain efficiencies and cost savings, reinvestment into more value for customers. Customer reach is expected to further improve through continued growth and optimization of store networks and advancement of online offers. Our industrial businesses will continue their strong focus on operational productivity to maintain and, where possible, lower cost positions. At current commodity prices, the external trading environment is expected to remain challenging. The Group's low cost operations provide earnings leverage should market conditions improve. Wesfarmers will continue to actively develop and manage its portfolio of businesses, maintain a strong balance sheet, and develop our human resource capabilities in order to take advantage of opportunities should that arise to support the delivery of satisfactory long-term shareholder returns. So, Terry, myself and the divisional managing directors will now be happy to answer any questions that you have.
Operator: [Operator Instructions] Your first question today comes from the line of David Errington from Merrill Lynch. Please ask your question.
David Errington - Merrill Lynch: Good afternoon, Richard, Terry and team. I don't know if this question is best answered by John or Terry, Richard. But if you could spell out a little bit more explanation on Coles, Coles' EBIT. There seem to be five moving parts to the actual EBIT. And I was wondering if you could give a bit more color as to what, you know, what impact that had. The first impact would have been the petrol dockets, because I understand that this would have been the second half that there would have been less costs charged to the supermarkets and more would have gone to the petrol side of things. And then you've obviously got the legal costs from ACCC. Then you had obviously the lower bond rate which you called out that impacted the long duration labor cost. But then you had lower electricity charges, and obviously the fuel alliance partner change that offset that. I suppose what I'm trying -- because I'm trying to get to what the underlying EBIT performance of Coles was in this half because those five moving parts, you know, make it a bit confusing. So if you could call out what impact they had, that would be very helpful.
Richard Goyder: Yes. Thanks, David. I'll get John Durkan to run through that. There may have been more than the five, so he can run through and give you our perspective on underlying earnings.
John Durkan: Sure. Hi, David. So the net effect of all of those is neutral on our results. So the underlying is the actual result. If I take them in order of your questions, so, all of the petrol dockets savings that we had, we've reinvested back into lower prices in our supermarket business. If I take the whole of the legal costs bond rates, electricity and others, they broadly offset each other and the ins and outs are roughly $30 million in and $30 million out in terms of the number. So all in all, they've not added or decreased our underlying results. So the trading position is really as you see it in terms of the number.
David Errington - Merrill Lynch: It's a bit surprising, John, that the leverage, I suppose, in the business is coming back quite quickly. I mean 4% to 5% sales growth was bringing in, you know, double-digit EBIT growth, and this half, that same level of sales growth is now causing EBIT growth to, you know, coming into the high single digits. Are the cost efficiencies coming through? I mean, my understand was -- is that there's a lot of cost savings there to be had. I would have thought 4% like-for-like sales growth would be supporting a lot more than 8% EBIT growth added on with opportunities to improve your supply chain, improving your cost savings. So if those five factors just neutralized one another out, I'm really surprised I suppose that the EBIT growth is not stronger given the opportunities that you have to improve and given that you are getting like-for-likes of 4%.
John Durkan: Yes. So to get the like-for-likes of 4%, David, we've invested in more aggressive pricing activity during the half, and this will continue into the foreseeable future. So I mean we're pretty pleased with the EBIT growth that we've seen out of the business. And I think it's a pattern that you'll see into the future in the fact that as the market becomes tougher, we're going to have to continue to invest for the longer term. And I think it is the right strategy in terms of the growth rate that we want to see, and creating a sustainable business. On your cost savings, we're seeing cost savings coming through the business in our end-to-end supply chain. And we're reinvesting all of those cost savings back into lower prices.
David Errington - Merrill Lynch: Yeah. So we're going to basically, we can expect this 4% to 5% sales, 8% sort of EBIT growth into the future because of your reinvestment, that's pretty much what you're saying, is that right?
Richard Goyder: It's Richard, David. We won't give forecast on any of that because it's a --
David Errington - Merrill Lynch: I thought that's what John said, Richard, that's all.
Richard Goyder: No. But I mean as our EBIT increases, obviously it gets harder to maintain the same percentage increase. But just I'll take you back to, John can answer the question, but I'll just take you back to Slide 10, the performance summary, you also see on that a significant increase in depreciation for the half. So if you look at the EBITDA level, there's a 9% increase and in supermarkets that would have been double digit. And John can you tell you about the EBITDA and respond to your question on future numbers.
David Errington - Merrill Lynch: Still CapEx going in there though, Richard, I suppose, so you don't get that CapEx for free. So I take your point.
Richard Goyder: Yeah. But it is an increase.
John Durkan: Yeah. So I wasn't giving a forecast. What I actually said was that we're going to continue to invest in lower prices, and to do that, we have to make sure that we're taking the cost out. But in terms of EBITDA, so the extra investment actually went into more IT costs and particularly online, but get depreciated over a short period of time.
David Errington - Merrill Lynch: Thanks, guys.
Richard Goyder: Thanks, David.
Operator: Your next question today comes from the line of Craig Woolford from Citigroup. Please ask your question.
Craig Woolford - Citigroup: Morning, afternoon, guys. Just wanted to I guess extend on that issue around the liquor business. How has the liquor business contributed to Food & Liquor performance in first half 2015? Did liquor EBIT margins fall? It looks like [inaudible] basis.
John Durkan: So -- hey, Craig. So you can see from the numbers that our comps were higher in our food business than our liquor business. And the -- whilst we don't break out the profitability [inaudible] going to break out the profitability here, we were broadly happy with the profitability that we got out of the liquor business in the half. And we are investing in that business for the future, so we lowered the number of prices, particularly within our Liquorland business, to get us into the right place for future growth. But as you can see from the comp sales number, the food business was stronger.
Craig Woolford - Citigroup: I'll try again. Broadly happy meaning that margins are stable? Is that how we -- because previously you said that the margin are roughly half that of the supermarket business.
John Durkan: Yeah, that -- so they were broadly in line with the numbers that we've given before and there's not been a material change in our EBIT performance of our liquor business.
Craig Woolford - Citigroup: Okay. Will that depreciation issue, I mean it would carry through to the second half, but is likely going to be an elevated contribution to overall CapEx food and liquor beyond this year?
John Durkan: So we don't see a material change in our CapEx into the future, but a part of our enabling our cost savings to come out of the business, there will be a higher IT investment to be able to take those costs out to make it a simple business to operate. So we do see future investment into the IT.
Craig Woolford - Citigroup: Okay. Thanks, John.
Richard Goyder: Thanks, Craig.
Operator: Your next question today comes from the line of Andrew McLennan from Commonwealth Bank. Please ask your question.
Andrew McLennan - Commonwealth Bank: Thank you. My first question goes to John if I can. Just around the return on capital, clearly continuing to improving in Coles. You mentioned the expansion of discounters into the -- or beyond the eastern seaboard. I'm just wondering, from an industry perspective, when you're thinking about returns and the amount of capital being expended, whether that changes your strategy, and do you actually think that the expansion into the vendor of Australia in west by the discounters is going to make a material change to profitability in the sector?
John Durkan: Well, so -- the move across into the middle of Australian west, we've already accounted for in terms of our future plans. The -- we don't see the returns being materially changed by that move at all. And as I said, our CapEx number will not again materially change into the future. We are preparing for that movement in terms of discounters. And as I said at the beginning, we've been lowering prices across the whole of the country, not just on the eastern seaboard, as part of our overall strategy. So I think we're well-placed in terms of defending our sales and our store portfolio.
Andrew McLennan - Commonwealth Bank: Okay. And just going to Bunnings, the margins have continued to come off as was previously indicated as a lot of new stores rolled out. But clearly the macroeconomic environment has been much improved. I'm just wondering whether we should anticipate, as the store expansions start to [inaudible] as a percentage of the store base, whether we should anticipate any of that margin coming back or is it going to stay down at these levels?
John Gillam: Hi, Andrew, John Gillam here. A couple of thoughts on that. Firstly, when we talk about and think about our business, we have four really strong thoughts that guide us. We want to have the best offer. We just must have it or we won't win. And everything bad starts happening when you don't have the best offer. We have to have a really good team. We want to operate in ways that build trust, and we must have good returns. And when we think about results for this year, the rolling sort of 24-month cycle we're in, we think we've sort of kicked those four big thoughts better than ever before. And when I started talking about the impact of accelerating our brand reach and pulling forward costs on a like-for-like basis, tactically at that point, we were thinking about best offer a little bit differently the way we now are, we now think as well as accelerating the brand reach. And you're right in your thought that when we go to a slower rate of opening new stores, that surge of cost into the P&L will reverse, but there are other factors, and it's very clear to us that the right thing for our business to do for the next five, ten years when we look out is to really grow volume hard and win more business than ever before, win across light commercial, heavy commercial, and consumers, and expand our brand reach. And that means creating more value, creating better experiences, offering better and better service, doing that digitally, doing that physically. And that has a cost that the price is huge, and you can see what we've done with our returns. And we've invested a lot since 2010 just shy of $3 billion of CapEx. Fantastic support from the Group to allow us to do that, and we've put that to good worth. And the margin's just an outcome. When we look at those really big thoughts, that's what guides us.
Andrew McLennan - Commonwealth Bank: No, it's good. And just one final question for me, if I could. Obviously across the Group there's a number of businesses now that have significant exposure to the dollar and each division has mentioned that today. But Richard, maybe one to you, is there some overarching thought in terms of risk mitigation and how much of an impact that deteriorating Aussie dollar could have on Wesfarmers?
Richard Goyder: Yeah, Andrew. I mean I might get Terry to add a bit to this. Obviously we look at it and we look at the impact in each of the businesses. Both Guy and Stuart [ph] are probably -- came out on target probably more exposed than most. But through their procurement arrangements, their narrowing of product range and supplies, we're getting buying benefits because of volume and we're also getting volume benefits because the inputs are low, the manufacturing inputs are lower. So that's allowing us to offset. We've also, as you know, got a hedging program through the Group which I think we've managed pretty efficiently. And, you know, all our businesses are -- all our retail businesses are working really hard and the Industrial & Safety division working really hard to be low costs. So if we are low costs, it means we've got the best capacity to deal with these issues. So we -- and we're very weary and alert at the moment in each of the businesses that has an impact. We're not seeing a material impact at this stage. We'll need to manage it. Clearly it has some advantages, so, the resource division over time particularly is, if it goes a bit lower in our hedge positions [inaudible] so -- and I think domestically, for the domestic economy, it's not a bad thing for a number of businesses, so, may well help the environment for our retail businesses to trade in. Terry, you want to add anything?
Terry Bowen: No. I think you covered it, Richard. Unless there's any specific questions, Andrew. I think it's --
Andrew McLennan - Commonwealth Bank: No, it's good. Thanks very much.
Operator: Your next question today comes from the line of Shaun Cousins from JPMorgan. Please ask your question.
Shaun Cousins - JPMorgan: Great. Thanks very much. Just two questions regarding Coles. I guess I understand the more modest rate of margin expansion given the level of price investment. I guess, first, John, are you happy with the level of volume uplift that you're getting from the price investment that's going on? It's quite dramatic in terms of what you're engaging in, but do you think that customer's responding as well as you'd like?
John Durkan: Yeah, we're seeing -- so we're seeing underlying our volume growth in the quarter was better than the previous quarter in terms of -- in terms of the amount of units that we've sold. And our customer transactions we're really pleased with. So we're seeing more customer transactions.
Shaun Cousins - JPMorgan: Okay. And just in terms of space growth, it looks like there's 3% space growth, and Coles hasn't had a lot of space growth over the period of the turnaround. But the difference between total and comps was only 110 basis points, and I recognize that the timing issue is there, but how is Coles managing the cannibalization issue from new stores? Again I'll factor that Coles hasn't had to be as impacted as Woolworths are, and again how are these new stores performing?
John Durkan: So the new stores are performing well. We're happy with the performance of those. And we're seeing a very small amount of cannibalization. We come from a further longer way back than our competitors. So if you go back six or seven years, there was no space growth, as you've said, Shaun, over that period of time. So we're in a little bit of catch-up mode, but we're pretty judicious about the space that we will take and we won't take. And we're early-opening boxes that are our ideal size and our ideal location. And during this half we've been -- it's been in the years of planning in terms of getting the space that you've seen over this half. So we're okay with the space growth at the moment. It is on our mind because we want to make sure that it's the right space. And I think we're in a pretty good shape in terms of that.
Shaun Cousins - JPMorgan: And just finally, in terms of you highlighted some one-offs regarding -- and all those seem to net off in Coles. But the lower electricity cost seems ongoing. Could you quantify that number please?
John Durkan: So I won't break the number out, but as I said, it's part of the $30 million that I called out in terms of the half.
Terry Bowen: Shaun, I can perhaps help on certainly the electricity one. If you look in the 4D and go to utility -- kind of utilities, you'll see there the reduction. And we said at the time effectively of carbon pricing coming in, that outside of COGS, which is too hard to tell with all the moving parts, but if you look purely at direct impacts, that we have about $100 million of direct impact, so, most of that with electricity. And I think what we've seen in this half across the Group is around 30 come back the other way. So, you know, I think that -- which is not unexpected if you think of the dynamics of this kind of situation. So that means we'd expect year on year probably to see a similar amount in the next half, you know, reduction.
Shaun Cousins - JPMorgan: Yeah.
Terry Bowen: Not a lot of seasonality. And then going forward, it's normalize back in and you just [inaudible] so. And the other thing, in terms of your space growth, question on Coles, I think if you do a bit of work stripping out food and liquor and looking at food space growth, on food growth, you'd be able to [inaudible] a bit as well in terms of worrying about cannibalization. So that's the only other point I'd make to John's point.
Richard Goyder: And Shaun, it's Richard. Just on space growth, a broader comment. Certainly we're seeing better proposals come to us at the moment because the performance of the business is more developed as they're coming to us, and we are getting I think high-quality proposals to look at. But the other key thing is, you know, as we've said before, we've got very vigorous review proposals processes, not just through approving capital but then reviewing how capital is performing, particularly new stores. And we're reviewing revenue and return on -- revenue, earnings, return on capital performance after 12 months and after 36 months in all our retail businesses to make sure that our modeling is as accurate as we want it to be.
Shaun Cousins - JPMorgan: Fantastic. Thanks.
Operator: Your next question today comes from the line of Michael Simotas from Deutsche Bank. Please ask your question.
Michael Simotas - Deutsche Bank: Hi everyone. Just a question on Bunnings for John. Can you give us some indication or some more color around the trends in both trade and consumer sales, if there's any discernible difference?
John Gillam: Yeah. Thanks, Michael. When I -- just thinking back to the May investor briefing, I talked about the structure of why the Home Improvement [inaudible] market and consumer, light commercial and heavy commercial, it's pretty obvious from the well-reported housing industry construction, housing formation sort of data, that that -- what we call heavy commercial is tracking well, and we're comfortable that we're performing on the right side of the numbers that the industry is getting. That is regarding share. Light commercial is a very big white space because that's products, repairs, maintenance, general upkeep, and on all buildings and all grounds, not just homes and gardens. And that's a very exciting growth opportunity for us. These are effectively micro and small businesses that behave like consumers. And for years we've had them as consumers within our business with pretty high degree of anonymity about them. But that's digitization and the ability to create strong direct linkages, to linking with the sort of store and relationship linkages at a store level have developed across the last decade. We've really improved how we can approach and connect with light commercial customers, and that's an exciting area of growth for us. And the consumer numbers that we're getting around the high side of all the ABS data that we see, and we track ABS all data minus food, and we want to be very strongly above that if we're not high performing and we challenge ourselves to be high performing. So at the moment, as I said, all of that growth drivers are falling in synch and they're falling for us in consumer and commercial across all areas we're looking to grow. So, a good outcome, and we're chasing it hard. Hopefully from the previous answer to Andrew you understand, we think it's far better for us to grow volumes and build stronger relationships with customers for the long term given what we're doing with our network to grow margins.
Michael Simotas - Deutsche Bank: Yeah, that makes sense. And if I think about the profitability of the various channels, it doesn't sound like there's been much of a mix effect on the overall profitability of the business.
John Gillam: Well, there is a mix impact, and if you would have tracked us over 20 years, we're probably trending back to a higher commercial element in the mix than consumer than we were five or so years ago. And that has an impact because we have to respect the volumes that those customers are purchasing and there's different pricing structures in place and there's a natural mix effect. For us it's just the ordinary course of doing business, and that's what I was hopefully conveying in the previous answer that the margins, the outcome, it's really the level of involvement and engagement you've got with your customers and how you can make yourself more relevant to more customers more often that counts for us. Particularly, doing it on good terms in terms of generating returns.
Michael Simotas - Deutsche Bank: Yeah. And then just a last one on Bunnings. If I look at the price index that you'd given on Slide 1, over calendar year 2014, it looks like the all-in price is on an absolute basis [inaudible] at the general inflation, but on [inaudible] basis it's [inaudible] actually turn the other way a little bit. Is there anything we should read into that [inaudible] the trend of price investment or maybe FX is having some impact? Or is that just a little bit of a blip in the curve?
John Gillam: It's a good question, thank you. Firstly, I didn't call out ForEx at all, so I'm not sure why there's the thought before that everyone quoted out. The market's the market, steel is down, plastics are down, lots of input costs are down, shipping is down, and it just happens to be that the dollar is up. When you wash it all out, some stuff cheaper, some stuff more expensive. You can see the CPI data there. The CPI is far higher. And we've absorbed more cost price inflation. That's -- so I think you're best to concentrate on the gap year on year rather than look at just what the deflation has done relative from one year to the next. And across calendar year 2014, we've absorbed more gap. And that's -- I thought that was the -- when we were talking about how to sort of demonstrate that what we're doing around creating more value is, for customers, that is real. We thought that was the best way to indicate that to you.
Michael Simotas - Deutsche Bank: Okay, good. Thank you.
Operator: Your next qeutsion today comes from the line of David Thomas from CLSA. Please ask your question.
David Thomas - CLSA: Hi. A question for John on Coles if possible. I was just interested, you know, with your fresh growing at double digits, if you could perhaps give some more context to how that's changing, you know, customer behavior, and whether or not you're still on track to get to approximately a quarter of sales [ph], which was the number I think that's been talked about in the past, but if you quantify the expectations around that going forward.
John Durkan: So, a part of our long-term strategy is to grow our fresh participation. If we go back five or six years, it was pretty low. And we've grown that over a period of time. Our produce has been growing more quickly than the other departments, but we're now seeing very strong growth in our meat business and also our in-store bakery business. So we're on a long-term journey with this. It takes trust with consumers to grow this business. And it's important to us because obviously if we can convince customers that we have great quality fresh foods at low prices, we tend to get full shoppers and full-basket shoppers. So if we combine that with lower prices across grocery, in the long term we should see very low customers. So we're on track with the growth trajectory, but there's a lot more work to do across our store network and convince customers that we have the right products. And the one thing I'd add to that is that the work that we've done in our supply chains with our suppliers, giving them longer tenure, having more consistent volumes with them, has also paid benefits because we're now getting more investment in the infrastructure of our suppliers, and therefore we're getting better-quality products and lower costs.
David Thomas - CLSA: Okay, thanks, John. And all things being equal, is double-digit sales growth within fresh something that you expect to see going forward?
John Durkan: Well, so, a bit like John just said, we really concentrate on the inputs and the inputs being the fact that we create what I just suggested. And if the outcome of that is that we can get higher growth in our fresh business than our grocery business, then that's what we want. Whether that's double-digit or not, we'll see. And it really does depend on, because these are seasonally relevant categories, it does depend on obviously inflation and deflation within those. So it's not just a deal you'd set a number.
David Thomas - CLSA: Okay, all right, thank you. And second question is for Stuart, on Target. It's been mentioned that you've had the strong growth in transaction in three years in the second quarter. And you've given us some color on categories. I was wondering if you could talk about sort of transaction size, and also maybe a bit more color on which categories have been driving that and where the best engagement has been across the portfolio.
Stuart Machin: Yeah. Thank you, David. Yes, like I said, so Q2 we saw good customer transaction growth, and over Christmas in particular. I think the key points to highlight first is our customer transactions are going up. Our volume's going up. But that does not yet offset our investment in price. And just to give a quick color on that, if you go back two years, 30% of our sales were at first price right price and the rest was promotional high/low. If you go back to last year, it's 50/50, and this year we're now averaging nearly 70% of our sales are at that first price right price. Now a key thing here is we've put our prices down to provide better lower prices every day. And that is starting to resonate with customers, but it still does not offset the investment in price. So we need to drive volume. I would call out children's wear because children's wear we stuck with the strategy for 12 months, and it is really paying off, and children's wear is the highlight category for us at the moment, where our customer growth, our volume growth has now offset that price investment of nearly 20% lower in children's wear. So, children's wear is working. And we've just about seen some green chutes now in women's wear in recent weeks.
David Thomas - CLSA: Okay [inaudible].
Richard Goyder: Thanks, Dave.
Operator: Your next question today comes from the line of Ben Gilbert from UBS. Please ask your question.
Ben Gilbert - UBS: Good afternoon. Just one for John at Coles. I just wanted to understand how you're seeing the share trend sort of maybe from quarter to quarter and just sort of fleshing out the investment in the [inaudible] prices, just how that's progressing and where [inaudible] and where you see that getting to over time.
John Durkan: Yeah. So, market share isn't something that we've concentrated on over the period of time, and really due to the fact that we've not been opening space at the same rate that everyone else has. And I think you get a better view of our underlying performance really through our comps. And if you look at our comps, particularly in our food business, they've been relatively strong. And as I said, customer transactions and underlying volumes have been stronger than the sales. So this is a long-term investment, you know, dropping our prices, moving to more stable prices, less promotions, actually takes time to resonate with customers. And it's a continual investment we need to deliver. And we are seeing, as I said, strong growth in that, and we're happy with the performance that we've got so far out of the investment we've given. But as I said, it's a long-term investment, and we think it's the right investment for the future.
Ben Gilbert - UBS: [Inaudible] potentially that are more profitable [inaudible] how you see that move over time, is that [inaudible] a positive for you guys [inaudible] helps drive that productivity [inaudible] drive acceleration and EBIT dollars?
John Durkan: So we've never stated that we're going to be an EDLP rig [ph] seller and --
Ben Gilbert - UBS: Sorry, [inaudible].
John Durkan: So the move to more consistent pricing gives you more consistent volume and less volatility on those products. And obviously the benefit of doing that through the supply chain is a positive effect because we then provide better longer-term forecasts to our suppliers and more consistent volumes. So, undoubtedly smooth, the supply chain, so there will benefit out of us moving more products onto everyday pricing.
Ben Gilbert - UBS: And just final one for me, just to Terry. Just the timing benefit [inaudible] the impact on the business in terms of the cash flow and working capital in retail. Just wanted to sort of understand how deep that was. From memory, I think last year was [inaudible].
Terry Bowen: Sorry, I missed the beginning.
Unidentified Company Representative: The difference in timing between last year and this year [inaudible] cash flow.
Terry Bowen: Yes, around -- it was effectively one [inaudible] which was around $250 million on the 31st of December, the year before, yup.
Ben Gilbert - UBS: Perfect. Thanks very much.
Operator: Your next question today comes from the line of Tom Kierath from Morgan Stanley. Please ask your question.
Tom Kierath - Morgan Stanley: Hi guys. Just a couple of questions for Guy [inaudible] today. A couple of easy, Guy. You've mentioned that you thought you could get to 10% EBIT margins and then potentially [inaudible] I think it was only about 13%. Given the currencies moved, do you still think you can get there? Is that still a relevant aspiration that you have?
Guy Russo: Yeah, thanks, Tom. That was a couple of years ago and I didn't realize that I wasn't meant to be giving forecasts to you, lads. Now, well-seasoned. So, no forecasts. But the focus of the Kmart team is no different. And the $8, I think everyone -- Richard and Terry, Richard covered a lot pretty well, about our -- the Group's view on that. Kmart's view on the $8 is just it as another opportunity. I mean maybe we'd been born through opportunities, our business, that every time something hits us, whether it be big or small, we like to tackle it head-on. And our simple answer to anything that hits the business from an outside point of view is that we just go back to the key strategy of looking after those customers. And we realize that price is the biggest driver of that, which is why we are really excited about announcing another 200 price drops. That's our response to the $8, is give customers more value. And I think you all get our model, it's a volume-driven model that goes out of its way to satisfy consumers, and we just wish there was more people living in Australia to be able to really experience irresistible prices and products that Kmart sell. So, come in, you'll be saving more money tomorrow in Kmart than anywhere else in retail world. So hopefully that will benefit the shareholders as well as we've done in the last six to seven years.
Tom Kierath - Morgan Stanley: Right. And then secondly, you rolled out -- you started to roll out a fair few more new stores. Can you talk about the cannibalization rates and whether you've had, I guess, an impact from that in the existing business? I guess it's something you haven't done for -- or the business hasn't done for a fair while?
Guy Russo: Yeah. It's been very good for us both from a top line and bottom line point of view [inaudible] have a very strict [inaudible] in regards to any capital that we spend, whether it be refurbishments which I'd also point out is also significant for what Kmart's doing and refreshing a 200-store -- let's call it 190-store fleet that haven't been touched for 30 to 40 years. So, both the focus on renewing all of our stores to Plan C and adding the new ones -- the new ones in particular we see these gaps. I mean we've done a lot of really good science on where all the gaps are that the DDS or other -- the other two big retailers are not playing in, DJs and Myer. And we, I think six years ago, put on a team of 15 people to go and secure all those sites as quick as we could before any of them had woken up to the fact that there was still more space out there in towns or cities, big cities, where shopping centers had not engaged in retail [inaudible] general merchandise and apparel. So, a lot of virgin sales for us, very little impact on our own businesses because we're not really putting them next to ourselves, we're putting them into space which is not being serviced and customers do well.
Tom Kierath - Morgan Stanley: Right. Thanks, Guy. Cheers.
Guy Russo: You're welcome.
Operator: Your next question today comes from the line of Phillip Kimber from Goldman Sachs. Please ask your question.
Phillip Kimber - Goldman Sachs: Hi. First question on Target. The signs are looking more positive there, in the response to the earlier question. I just wanted to understand why that's going on and the volume of that isn't -- or the volumes aren't offsetting the price investment. I mean, you've managed to stabilize profits anyhow. How much weaker is that last component expected to come through? Is it still two or three years away before you think you get the volume to the point where you could go back to more normal type profit levels or is it a shorter term timeframe? How are you thinking about the timeframe of the turnaround?
Stuart Machin: Thank you, Phillip. No, it's a good question. At the moment we're working through category by category. And I'm really hoping that we get some volume momentum in the next 12 months. And the reason I say that is, today for example, we've just moved our homewares business to our "first price right price" strategy. And that now really covers the majority of our categories where we've invested in better products and invested in lower prices everyday. So our customer communication can start to ramp up over these next few months now because we have a consistent offer across all categories. And I think that's a really important point because when you've had years and years of huge discounting and lots of "deals of the day" and lots of offers, customers take some time to realize that you've just tried to give better product at lower prices every day, not just on the odd few days. So our customer communication is the biggest challenge. The only other thing I would say is, look, we still have lots to do. There are some green chutes. The good news is customers are coming back, we've got to get that experience right in the stores. Our new stores are working fairly well for us. But we have a big job as well on our supply chain over the next two years.
Phillip Kimber - Goldman Sachs: Okay, thanks. And my second question, similar on Coles, you talked about project unity in the result release. I just wanted to get a bit of a sense on the timetable for that. Is that something that we should see the benefits over the next couple of years or is it a bit more back-weighted?
John Durkan: So it'll be a continuous program over the next five years plus. Our end-to-end supply chain is also a complex and larger one and restructured elements take time. But we should be able to see benefits over the five years.
Phillip Kimber - Goldman Sachs: Okay, thank you.
Operator: Your next question today comes from the line of Grant Saligari from Credit Suisse. Please ask your question.
Grant Saligari - Credit Suisse: Good afternoon. Well, first of all, congratulations to the Officeworks team. That was a standout result. I guess my first question is really around the balance sheet, and yeah, it's in really great shape. Your cash flow is good. But when you look at the capital investment profile, I mean, you really struggle to put big licks of capital to work anywhere other than in Coles and in home improvement. And so my question really is, what needs to change in the external environment for you to find opportunities which are presumably going to be outside of those businesses, to put the balance sheet to work harder than it is at the moment?
John Durkan: Yeah, thanks, Grant. I mean Coles and Bunnings aren't bad businesses to put capital into, given the growth in earnings and the returns we're getting from that new investment. And yeah, as Terry mentioned, I think we said $1.2 billion in the first half on capital, so. But what has to change? We have to see value in any investment we make. So we're -- we actively look for growth. We've got a strong business development team and we built the commercial capabilities in each of the divisions as well to ensure that we're looking at opportunities, we see value for shareholders in whatever we do. And I'm not, you know, you can't be impatient on this sort of stuff. You just got to be ready, you got to do the analysis, and then when opportunities arise, you're going to be able to move quickly. And they come usually through some discount annuity or some disruption or something. And certainly there are markets at the moment that are doing it tougher. And we do think that -- we'd certainly like to grow our industrial businesses at the moment, each of the industrial businesses, we think got some opportunities. So, yeah, we're looking, we're disciplined, we're patient, and we'll see what happens. In the meantime we'll maintain a strong balance sheet, but always with a focus on ensuring we're delivering returns to shareholders as well.
Grant Saligari - Credit Suisse: Okay, thanks. Just one other general question if I could. Most of the retailers that have reported today have singled out really quite surprisingly strong sales growth in January and early February. I just wondered as a general comment, whether you've seen, you know, seen a strong January or February compared with run rates in December?
John Durkan: Yeah. I think I made that comment in my opening. We've seen -- I said we had a strong Christmas and we've seen that continue through January and February across the retail businesses. I don't know if any of the guys here want to comment on it. But the environment at the moment on the back of lower fuel prices, in the case of Bunnings, housing turnover, lower interest rates, is not a bad environment for the retail side of things.
Grant Saligari - Credit Suisse: Great. Thank you for that.
Operator: Your next question today comes from the line of Craig Woolford from Citigroup. Please ask your question.
Craig Woolford - Citigroup: Hey guys. I just had a few follow-ups if I could. Firstly on Bunnings, it's not a question I've asked before, but I am interested in how basket size growth is contributing to the comparable store sales.
John Gillam: Thanks, Craig. I'll disappoint you, we never disclose that and I won't change that habit. We're really pleased with all sort of the metrics we're seeing. I'll just give you a general answer. It's going okay.
Craig Woolford - Citigroup: One thing -- reason for asking that question, it's very hard to understand what's truly going on with operating leverage in that business (inaudible) sort of magnitude would typically lead to better margin. So perhaps the growth in comps is because of a change in sales mix or more big-ticket items which inherently have a lower gross margin.
John Gillam: Okay. I think fascination with margin, which -- and the way you ask that question comes from the thought we might be a turnaround or we might be a startup and somehow one's got to get to two, it's got to get to three, it's got to get to four. Our margin for this half was higher than our margin in 2009 by 10 basis points. Across all of that period, we've invested nearly $3 billion. That's include the financial 2009 year, so, over $3 billion. We've grown our business enormously. The sales mix, because of changing rates of growth, we got great growth in consumer and great growth in both parts of light and heavy in commercial, and that's got a sales mix issue that washes through. And technically today, given the volatility in our market with a number of people trying to grow, reposition or get a position, we think if we're going to be successful in five years' time, we have to be doing more than ever to have the best offer. When you mix all of that through, you end up with an outcome of a trading EBIT number that been the way it is. When we look at businesses around the world that have had long-term success and are held as standouts in our sort of game, our peers, we don't see EBIT margins as high as ours. And like mass merchants, it's hard to find EBIT margins that are high. And there was a previous question about [inaudible] an outstanding business. And they're not too much farther north from us. And we don't run our business for an EBIT margin. We're very conscious of trading leverage, and when you create leverage, you put it to work somewhere. And sometimes it goes to work more than the leverage you created. That doesn't fuss us. We're very long-term focused. We're investing for the future and we want the shareholders of Wesfarmers to be enjoying a successful Bunnings in 10 years' time.
Craig Woolford - Citigroup: Yes. And those offshore peers are far more generous on their disclosure. They give basket size and sales per square meter, so it'd be great to see that as well. I've got a question on resources and the cost -- cash cost per ton. What's your expectation for the second half? I recall there was some I guess reductions in cost that you took on as temporary. Now is there some cost inflation that will come through just because you can't hold down some of those cost initiatives forever?
Stewart Butel: Yeah. I think [inaudible] maybe in investor relations day back in May that [inaudible] got a long-term reduction in unit costs would [inaudible] would be down around 30%. And I still view that. So for this half we came in at 32. So I think we're we will be longer term in terms of sustainability of the reduction in cost [inaudible]. I think we're in pretty good shape there.
Craig Woolford - Citigroup: Okay, right, thank you.
Unidentified Company Representative: Thanks.
Operator: Your next question today comes from the line of Shaun Cousins from JPMorgan. Please ask your question.
Shaun Cousins - JPMorgan: Thanks very much. Just a question for Olivier. Could you provide any sort of quantification of the restructuring cost that you've highlighted in your presentation?
Olivier Chretien: Yeah, thanks, Shaun. It may be a bit early. I'll give more details at the investor strategy day in May. But just a number of things we need to do to fix customer service, supply chain issues, you know, in the Workwear Group, and also some restructuring we are doing currently in the portfolio. So, other businesses. So, we'll give some more flavor to that on May.
Shaun Cousins - JPMorgan: Okay. And thanks. Terry, could you just, for the debt costs going forward, I think you highlighted in your discussion that it's 5.43 for the first half 2015. Given the activity that you've engaged in during the first half 2015, should we see that level of debt cost remain the same or should that come down?
Terry Bowen: We're working hard, Shaun, on a couple of angles. One is obviously we're looking at ongoing refinancing for the Group, and we've got other bond issues coming up in the next 12 months. But we're down if you think about five-year timeframes at higher interest rates than we'd see now. So that should be positive. And we've also done a lot of work to try and make sure that we're not paying unnecessary bank fees around bilaterals or syndicated facilities. And so that should help us. And clearly in the current environment that, you know, we've got hedging in place, which is broadly around 50% of the Group's debt is hedged at [inaudible]. And we're obviously conscious of where interest rates are moving and where -- what the yield curve looks like. So we'll try as we do with currency to be sensible in those decisions, whilst still, you know, kind of keeping hedging in place and not just being openly speculative. So all that add up to I'd expect reductions. But as I said, I wouldn't, you know, we're getting down to interest costs now, that we'll go back a number of years ago, we're $900 million now -- for a year, now we're talking $150 million in a period. So, clearly it will go down, but I wouldn't -- it's not going to be probably as material as it's been, that's for sure.
Shaun Cousins - JPMorgan: Okay. And just a quick question for Stuart. First, in regards to Target inventory. Obviously you're highlighting stronger volume. Are you actually in a clean inventory position now?
Stuart Machin: Yeah. I think there's much more work to do over these next 12 months with our supply chain work, but the inventory health is a lot better. I would still say, although the mix is better, we're about flat on the year. So the next 12 months and so, we still have a lot to do.
Shaun Cousins - JPMorgan: Great. Thank you very much.
Operator: Your next question today comes from the line of David Errington from Merrill Lynch. Please ask your question.
David Errington - Merrill Lynch: Thanks. Can I ask a question, Richard, to Tom, on the Chemical and Fertiliser business? That's been to again posted [ph] very heavy CapEx program for earnings to be down. That's a pretty disappointing outcome. Now I understand there's some exogenous factors like increased gas costs and also the carbon rebate is impacting your revenue. But I would have thought that with chemicals, I think the revenue from chemicals increased by about $40 million. I would have liked to have started to see some increased profitability in chemicals from that investment. When can we start to see that, Tom? When can we expect to see some fruits from that investment coming through? Because generally speaking, Wesfarmers targets 15% return on investment, and I was thinking, on a $500 million investment, that we'd start to see a meaningful contribution in the not too distant future. I suppose my second question too, if you could answer, to Kleenheat. My understanding was Kleenheat and LPG, I don't think, made any money post the change in the structure of the contract many years ago. And to call out that the earnings really fell a lot, is that highlighting that Kleenheat and LPG gasses are now in losses?
Tom O'Leary: Thanks, David. Let's start with chemicals. I think there are a couple of things that we need to reflect on to ensure we don't get the wrong idea of the performance of AN3 or the AN business generally. And first is along the lines you said. But the earnings are coming through, that the fact is they're being offset by other declines, including those I've flagged, and you mentioned, in the ammonia business, and from the removal of the carbon rebate. But we need to remember that, over the last couple of years, we've actually generated very strong returns on our ammonia business, because as you recall, we had a period where we had long-term off-take contracts for ammonia, which we entered into way back in 2000 when the ammonia plant was built. Now those expired and we've been able to move those customers to much higher import pricing -- import parity pricing, and yet are relatively low-cost original gas contracts had remained on foot. And so those circumstances led to a period of much stronger returns on our ammonia business. As I flagged and you set out, the gas contracts are now coming off and they'd been replaced by higher-priced contracts. And so the earnings of our ammonia business have reduced quite markedly. The second thing I think we need to reflect on, and that goes to your point about when we're going to see improved returns, and that is I think we need to reflect on the mix of AN products into domestic explosives versus a product that goes into lower-margin fertilizer exports. As I've said in the past, we'd always planned and expected to put products into the export market [inaudible] because as you know, the demand from the domestic explosives sector tends to grow in a relatively straight line, while AN expansions quite obviously growing [inaudible] 280,000 tonnes per [inaudible]. This year the mix is going to dictate that a lot of product will go into the lower-margin markets, while in 2016 and 2017 that mix will improve as domestic explosives demand growth. So on AN3 and the AN business generally, I'd say that it is delivering. Going to your question about Kleenheat and the LPG plant, we haven't actually split out earnings from Kleenheat at any time, and so I don't plan to do that now. But, you know, stepping back from it a bit, in terms of the viability of the production plan, it's clear that at present we set ECP [ph] at relatively low levels, and the current gas and transportation costs, the economics is challenging. But it's worth reflecting back over the years though, the LPG pipe was built by Wesfarmers in 1988 at a cost of around $105 million on the basis of a guarantee that LPG content in the pipeline of around 1-1/2 tonnes per terajoule, which was always going to stop in 2005. The plant delivered a very strong investment return for Wesfarmers, and you'll recall that at peak production rates, it was over 300,000 tonnes per annum. You can see in the supplementary pack that current content levels are around half-a-ton per terajoule. But as a result of some really good engineering work, the plant's been able to produce at content levels that are well lower than we've envisaged. And as a result, we've been able to capitalize on high levels of south ECP [ph] over the last several years. So while the economics are not favorable at the minute, we'll continue to closely monitor the economics of production Kwinana versus importation. And that analysis will take into account and does take into account because we're doing it all the time, takes into account projections for content, gas costs, and international pricing. And given the volatility of those factors, we particularly look at carefully when we're thinking about future investment [inaudible]. I would say at the moment we're seeing a steadying of the LPG content. The decline in Aussie dollar is helping. We don't have 100% exposure to south ECP [ph]. And we're also achieving some improvements in cost control in Kleenheat. I'd also say that continued operation as opposed to importing provides a significant gas and transport load for the Western Australian market, and that fact's not lost on our suppliers. So we're looking at a range of factors to optimize value in the existing efforts.
David Errington - Merrill Lynch: That's excellent. Thank you, Tom, really.
Tom O'Leary: Thanks, Dave.
Operator: There are no further questions at this time.
Richard Goyder: Thank you all. Have a good day. And we look forward to catching up soon.
Operator: Ladies and gentlemen, that does conclude our conference for today. We thank you for your participation. You may now disconnect.